Operator: Good morning. My name is Chris, and I will be your conference operator today. At this time, I’d like to welcome everyone to Horizon North Logistics, Inc. Q4 2015 Conference Call and Webcast. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Mr. Rod Graham, Chief Executive Officer. You may begin your conference, sir.
Rod Graham: Thank you, Chris. Good morning. My name is Rod Graham. I’m the President and Chief Executive Officer of Horizon North. Scott Matson, Our Senior Vice President of Finance and our Chief Financial Officer is with me this morning who will be discussing our Q4 2015 operating results, our business strategy, and objectives, as well as our outlook for 2016. I’ll first turn the call over to Scott to cover the required cautionary disclosures and I’ll go through where we’re in terms of the markets, what we’ve done and continue to do in order to best position Horizon North to weather what is turning out to be a prolonged downturn in our traditional markets. Scott?
Scott Matson: Thanks, Rod, and good morning, everybody. As Rod mentioned, we’ll be commenting on our 2015 fourth quarter and full-year results assuming you’ve read in Q4 earnings release, the MD&A, and our financial statements that were made public last night all of which are available both on our website and also on the SEDAR. We’ll also discuss Horizon North’s 2016 capital program in general and our general outlook for 2016. During this conference call, certain statements will be made relating to Horizon North that are based on expectations of management, as well as assumptions made by Horizon North using information currently available to Horizon North that may constitute forward-looking statements or information under applicable securities laws, as well certain financial measures discussed today are not recognized measures under Generally Accepted Accounting Principles. The cautionary statements contained in yesterday’s news release and in our annual filings that are available on our website and on SEDAR, outline various risk factors, assumptions and cautions regarding any forward-looking statements or information and also contained further information regarding any non-GAAP measures that we discuss today. So with that, I’ll turn back to Rod.
Rod Graham: Thanks, Scott. I want to comment first on the market conditions we’re facing and how our strategy, our plan, and objectives have helped us deal effectively with the challenges presented. I’ll then ask Scott who will walk us through the activities of the fourth quarter and the full-year results of 2015. We’ll then finish with our views of the outlook for 2016 before moving into the Q&A portion of this phone call. We released our Q – our year end reports last night with a disappointing Q4 2015 EBITDA realization. In addition, we made the prudent fiscal decision to undertake a dividend cut. I’d like to say that Q4 2015 will be the last challenging quarter from a macro business perspective for our industry and our company and I know there will be a falsehood. Horizon North traditional energy markets in Western Canada under extreme duress. The prolonged and deep decline in commodity prices in 2015 has resulted in significantly reduced revenues and cash flows for all resource participants has resulted in deep cuts and capital spending by many of our long-term and Blue-chip customers.
.: As a significant personal investment Horizon North looking through yesterday’s release, I acknowledge this message regarding challenging commodity price environment, I process it, and I would hazard to guess that this message is not true to similar for many of our energy sector participant peers. The question you should ask as an investor is, how is Horizon North going to be proactive in its operating strategy to grow and be profitable in this lower for longer commodity price environment and make this company Horizon North a long-term investment mainly for your portfolio. Last year, we started to face this rapidly deteriorating business environment we embarked upon a strategy of transformational change at Horizon North to ensure the continued success of this company. To move away from a decentralized holding company to a fully integrated organization required us to focus on developing a strong base of experienced professionals and a plan to streamline, integrate, and simplify Horizon North’s operations. Today, we’ve made significant progress towards our integration goals in key areas of our organization. The structural changes we have implemented include approved cost control, disciplines capital spending, accelerated internal integration, and a little bit of our new business development strategy to defend our existing markets and to develop new end markets by product, service, and geography. We made strategic changes to our bench in 2015. And with this high-performance team, we will accomplish our objectives of becoming an infrastructure-oriented company that services a number of diversified end markets with energy clients remaining an important part of that customer mosaic. I’ll now go through specific areas of focus in 2015, which will continue into 2016 cost controls. Over the course of past year, we’ve reduced our headcount to reflect the current state of our industry. As of mid-February, we had just under 1,200 employees, down 700 from – the same period last year at this time. This reduction in headcount is necessary due to a significant drop in activity across all our operations and reductions impacted, both the operational and administrative staff. We worked closely with our vendors to find cost savings, which closely mirrored the reduction in prices demanded by our customers. We continue to work closely with both our customers and our suppliers to find new efficiencies and cost savings wherever possible. As many of you are aware, we hired a very capable VP of Manufacturing that comes with deep background in supply chain and lean manufacturing. These efforts have proven up-to-date and will prove more in 2016 that he can drive down the cost of our manufacturing process, while improving both the quality and the efficiency of these processes. We’ve also undertaken the implementation of a companywide First Time Quality, FTQ program through all of our – throughout all of our products and service offerings utilizing a number of tools drawn from automotive and aerospace industries. We’ve also announced the addition of a new executive task with implementing cutting-edge business information systems and processes to support this new corporate business model, improve our efficiencies and overall management cost control systems. These cost control measures will start to come true in 2016. Disciplined CapEx. In 2015, we made net investments of $45 million, mainly on the maintenance of our asset base with a limited expansion of free capital to support existing contracted work, as well as target incremental investments in site work to our land positions in Kitimat and Prince Rupert such that they would be launched ready over the next 12 months. Integration, one company, one brand, one vision. We continue to move towards an integrated business model, which will provide some strategic focus on customer and markets with more integrated processes and systems to reduce costs and improve efficiencies. This will allow Horizon North to respond more effectively the opportunities in existing and new markets. In the latter half of 2015, we implemented a unique and fresh approach to our look and branding and now markets. This integrated one company, one brand, one vision model. This is the foundation of our new cross-selling business development strategy. We’ve also introduced a new major sales approach to take advantage of our deep technical sales capability and allow improved customer service and through our integrated business model cross-selling our broad range of products and services that are complementary and lend themselves to bundling both to our existing markets and our new permanent modular markets. Targeted balance on OpEx and CapEx spend, we’ve expanded our product and service offering to drive towards the balance of the exposure between the OpEx and CapEx budgets of our major customers. Last quarter, we announced our first contract win capturing an OpEx spend in a sector vertical, where we had historically had limited experience. We remain focus on capturing additional project work in this vertical. Permanent modular, and it described you in past calls permanent modular includes the modular construction of permanently located buildings for commercial and institutional markets. In this offering, we design, manufacture, transport, and install using all of the in-house services of our Horizon North team. We mentioned in our last call a new 88-room hotel in Kitimat, British Columbia. Work on this project was originally expected to start in early 2016, however, it’s been temporarily delayed based upon recent developments in BC LNG project market that I will talk about next. This permanent modular market vertical has significant macro potential. We’re encouraged by the recent BC government’s announcement to invest $355 million in infrastructure for housing initiatives in that province over the near to mid-term. We’re confident that our design, engineering, manufacturing, transportation, and set up exemplary record of safety operating base in Kamloops, British Columbia and strong First Nation engagement will put us in an excellent position to capture a portion of that provincial spend. We also believe that federal infrastructure spending and initiatives will benefit our business for both vertical and horizontal construction projects. Exposure to liquefied natural gas. We don’t normally publicly comment on the business strategy of other energy participants. However, on February 4, 2016, Royal Dutch Shell announced that there will be a delay in their final investment decision on the LNG Canada project until the end of 2016. There are numerous questions and comments from analysts and investors surrounding that release. The Horizon North strategy, starting in late 2014, was to be positioned with land and municipal relationships in a series of targeted LNG outports, including Kitimat, Port Edward and Prince Rupert. We’ve invested real dollars on land and infrastructure in Kitimat and have land options with modest lease arrangements in Port Edward in Prince Rupert. Again, asked regularly if BC LNG is andif it goes, or is it, when it goes?We believe it is a when it goes by going into the crystal ball and timetable for LNG construction. However, I can say with complete confidence as our Board unless you have a land strategy with local government and First Nations involvement, well-developed, well ahead of an announcement, you will not garner commercial winin this region. We remain optimistic that this momentum exists and that a couple of project proponents will move towards an FID later in 2016. As I mentioned on our Q3 call, we are moving ahead with site works at both our Kitimat and certain of our Prince Rupert locations to be camp- and lodge-ready for late 2016. In Kitimat, we initially planned to install a first-stage open lodge during the Q4 of 2015 and Q1 of 2016. With the LNG Canada announcements and the FID delay, we will delay that install work for a period of at least six months and preserve our capital. Upon a positive FID announcement and commitment for a percentage of the rooms, we certainly remain committed to build out our Kitimat lodge to its full capacity of up to 1,000 executive lodge rooms. In Prince Rupert and Port Edward, there were some promising non-LNG dependent projects upcoming, and we’re optimistic about our expansion plans in those communities. We are nearing completion of permitting for a 168 person open lodge, of which roughly half will be a new build and our facility in Kamloops, British Columbia, and the other half will be repurposed high-end executive lodge rooms except from an oil sands contract that has just completed. We will continue to work on formalizing commitments, tidy up our permitting, and expect to generate first revenue from these assets sometime in the second-half of 2016. Upon positive FID announcements, we believe that we are very well-situated on a number of our land positions in both the Prince Rupert and Port Edward to infill project proponent camp expectations. Balance sheet. In 2015, we took a number of steps to improve our balance sheet and improve liquidity. In the first quarter of 2015, we renegotiated our credit arrangement – agreements, expanding the available credit, and providing us with more flexible terms and conditions. In the third quarter of 2015, we’ve raised $80 million in capital and use this to reduce our outstanding debt. Our strong balance sheet is an important tool to allow us to work through the current challenging operating environment, while pursuing major focus growth activities in liquefied natural gas, as well as new and diversified modules. The dividend. Last quarter we announced the reduction in the quarterly dividend to preserve capital allowing Horizon North to be ready to respond quickly to growth opportunities as it arose in 2016. In view of the continued reconditions in our traditional energy markets, the Board and management elected to make one additional adjustments to our quarterly dividend for 2016. The Board and management have made this adjustment to ensure our cash outlays, our capital spend, and cash dividend are very conservatively matched to our expected reduced cash flows for 2016. The Board and management are confident that this move will resolve in a strong balance sheet position throughout the course of this year. I’ll talk more about the outlook for 2016 after Scott comments on Horizon North’s financial results for the fourth quarter of 2015. Scott?
Scott Matson: Thanks, Rod. So I’ll walk through our results for the fourth quarter in aggregate and briefly comment on each of our major business lines. So I’ll talk mostly about Q4 of 2015 as compared to Q4 of 2014, and make a few comments relative to our expectations for the first-half and part of 2016 as well. So on a consolidated basis, fourth quarter revenue was $68.7 million, down approximately 49%, compared to Q4 of last year. A little over half of that decrease was related to lower activity levels in our manufacturing operations, which were down $33.7 million, or 84% compared to last year. The remaining $35 million drop in revenue was mainly weaker pricing and lower activity levels across virtually all of our other business lines. Statement and the obvious is that our business was significantly impacted by persistent low commodity price environment and its effect on the broader energy industry. This led to fewer projects being initiated by customer’s delays or deferral of projects that were already in planning stage and generally reduced demand for our products and services. The activity that did continue faced significant pricing pressure, which is reflected in our rates, both for the quarter and for the full-year. Continue to work closely with our key customers to help manage our way through this storm together, but the waters remain very choppy ahead of us. Consolidated EBITDA for the fourth quarter was $8.5 million, down significantly over the prior year reflecting both systemic weakness across our business lines, but also some specific items that were recorded in the quarter. In aggregate, these amounted to $3.0 million in the quarter. So, excluding these items in more normalized EBITDA would have been about $11.5 million, or 17% of revenues more in line with what Rod I were expecting. I’ll talk a bit more about those specific items in a few minutes, but the overall results certainly reflect the continued challenging macro environment. So starting with our camp rental and catering operations, large camp revenues for the fourth quarter were $43.7 million, down about $16.7 million, or 28%, compared to Q4 of last year, mainly this was driven by reduced pricing as compared to Q4 of last year, as the effect of those pricing accommodations really took hold. You can see that in our rates revenue per bed rental day averaged $90 per day during the quarter, down about 20%-ish versus $115 we saw per day last year. Activity levels were not impacted quite as dramatically, but utilization was down year-over-year coming in at 56% in the quarter, as compared to 69% last year. Activity came off sharply in mid-December as the Christmas break started earlier and lasted longer than we typically see. That break extended into the beginning of this year and we saw a much slower and more muted ramp up to start 2016. The urgency we start to get back to work in early 2015 was simply not there this year. Revenues from our drill camp operations were $2.1 million for the quarter, down about 50%, compared to last year, again, lower activity levels across the Board. Utilization was about 19% for the quarter versus 34% last year, again, curtailed drilling activity levels throughout the market combined with lower pricing. Until we see some sustained improvements in commodity prices, which leads them to incremental drilling activity, we would expect this business to remain challenged. Matting the only side of things, revenues were $2.2 million for the quarter just down – down just over 50% compared to last year. Again lower activity levels in customer-owned facilities for which we provide catering and hospitality services, impacted again by commodity pricing in activity levels. Revenue per day was down about 25%, compared to last year, combination of a weaker demand and then a comparative mix of contracts in place. From a service side of this business, revenues were about $2.3 million for the quarter, down significantly from last year. This is the transportation installation and decommissioning of camp projects, driven by camp setups and relocations in a given period. The decrease, again, reflects the general decline in customer related field activity in the quarter. So overall, camp rental and catering revenues for the quarter were $50.2 million, a decrease of about 35% compared to the same period of last year. We’ve talked about pricing activity levels that impacted this. On the manufacturing side, revenues were about $6.5 million for the quarter, down significantly compared to the same period of last year. For context, in Q4 of 2014, we had a large camp manufacturing and installation project that was in full swing, or as in Q4 of this year of 2015, we have completed the handover of that project in a demobilized from the site. Demand for similar large-scale manufacturing projects has turned down considerably given the economic climate and our line of site on manufacturing for 2016 at this point is reasonably limited. Our relocatable structures business in Q4 of 2015 performed reasonably well. Revenues were $3.8 million relatively flat with last year, supported by our cross-selling initiatives, linking existing customers to new products and services, as we push on market share in new areas. So overall, consolidated camp and catering segment revenues $60.3 million for the quarter, roughly 50% down from last year. Consolidated EBITDA from this segment about $10.2 million, or 17% of revenue, compared to $27.9 million, or 23% of revenues in Q4 of 2014. As I mentioned, essentially all of the components of these segments are declining revenues in EBITDA, but I would note there were two specific items during the quarter to highlight. First, we recognized some increased costs associated with an extended field construction closeout schedule on one of our major projects in which the final change orders were settled in Q4 of 2015. Second, we recognized the provision for doubtful accounts with respect to a long-dated receivable. As you can imagine in this environment customers are pulling many levers, including delaying payment on contracted amounts and we continue to grind through this process. Together, those two items accounted for $3.0 million in additional cost being recorded in the quarter, which had normalized for earlier. The Matting side of our business, our rental revenues were about $2.2 million, down a little over 40% versus last year. Again, activity down materiallyasour customer Matt demand fell away sharply, and we experienced continuing and extreme competitive pricing in this environment. Matt sales were about $2.5 million for the quarter essentially flat with last year, marginally higher volumes offset by lower pricing. In general, matt sales throughout 2015 were down as customers reduced their capital spending across the board. Service revenues, including the transportation installation, and matt management services performed on behalf of our customers that we charge for separately about $3.9 million in the quarter, down about 50% from the same period of last year. And the decline again result of lower level of rentals and sales activities combined with generally lower demand from customers, which typically be repositioning our own matt fleets for upcoming projects, this work pulled back pretty significantly in the quarter. So overall segment revenues for Matting $8.6 million, down about 40% versus last year. EBITDA $1.1 million, 13% of revenues, compared to $4.1 million, or 28% of revenue last year. From an SG&A point of view costs for the quarter were about $5.5 million, down from last year, which was $7.3 million. As a percentage of revenues, SG&A expenses were about 8% in Q4 of 2015, compared to about 5% last year, mainly due to the drop in revenue year-over-year. There was some noise in both this year’s numbers and last year’s numbers, so for 2016, I would expect those numbers to come in down a bit both in absolute terms and as a percentage of revenues, we continue to push forward with our aggressive cost control program. I’ll talk briefly about a few other specific items as well, given the challenging conditions we saw exiting 2015, and as part of our normal year-end process we completed the required accounting driven impairment testing analysis required under IFRS. Based on our value in used calculations, we determined a small impairment in the Camps & Catering CGU. Accordingly, we reported an impairment charge of $1.7 million effectively ramping up the existing goodwill in this segment. Details with respect to the assumptions used in the value and used calculations can be found in Note 13 of our financial statements. As Rod mentioned, net capital spending for the year came in well within our guidance, and was just under $45 million for the year, mainly allocated to our sustaining capital program, along with some limited capital on expansion projects to satisfy contracts and civil commitments on our LNG land position. In the phase of continued uncertain environment, we certainly remain focused on preserving the strength of our balance sheet. As Rod mentioned since the beginning of 2015, we repaid almost $88 million of debt bringing our bank borrowings to $57 million at the end of this year. We accomplished that using a combination of the cash freed up from our reduced working capital requirements and the proceeds from our equity financing in the middle of the year. That translated into a total debt to trailing 12 months EBITDA ratio of 0.92 times at the end of 2015, significantly improved as compared to the 1.66 times we saw starting the year. Many of you’ve heard me say that, we will be spending within our means, as we work our way through 2016. And so we’re not providing formal guidance. But as of today we feel reasonably comfortable with the analysts EBITDA estimates for 2016 that are in the $40 to $55 million range. We have modest interest charges that will be largely offset by cash tax recoveries, so that EBITDA range translates roughly into after-tax cash flow. Rod outlined a new limited capital spending plan somewhere in the $15 to $20 million range for the year, which will be focused primarily on key strategic initiatives and in support contracted revenue generating projects as they arrive with very little of this program as yet committed. As part of our releaselast night, we talked about a reduced quarterly dividend of $0.02 per share, which translates into a $10.7 million payment on an annualized basis. So if you put all that together, it provides us with a view of 2016 as being modestly cash flow positive. As a result, our Board of Directors and management are looking to evaluate a variety of alternative potential uses for any potential positive cash flow that’s generated, and we’ll be focusing on what will provide the best return to our shareholders. So with that, I’ll turn things back over to Rod.
Rod Graham: Thanks, Scott. I will now speak to the market outlook and our strategies we move through 2016. We all know that we’re in uncertain and weak economic environments due to compressed, depressed, and volatile commodity prices. Given this commenting over 2016 outlook is a very difficult proposition. Horizon North anticipates that the uncertainty and volatility we’ve seen in 2015 will persist into 2016 with continued weak demand and depressed pricing for our products and services. It is expected that our customers will continue to reduce capital programs and delay investment decisions, while simultaneously looking at all opportunities to lower their costs through 2016. We work closely with our key customers to negotiate pricing to maintain occupancy in our camps and catering business. The further price concessions cannot be made without sacrificing the high level of quality, care and most importantly our safety program that we pride ourselves upon. We’ve negotiated similar cost reductions from our suppliers and we have trimmed our operating costs and we’ll continue to monitor and minimize all discretionary costs in 2016. Our new lean manufacturing and operational processes will continue to help us drive the cost of our business down. As a priority, Horizon North will continue to protect its strong balance sheet, minimizing working capital and reduced capital program will be a strong focus. Capital spending would be limited to only a few key initiatives and we required maintenance, the growth capital limited to supporting only new contracted projects. The transformation will change Horizon North embarks on in 2015 remains a key initiative and despite the anticipated continued difficult economic conditions in 2016, Horizon North is committed to continue the journey to realign and restructure our company to focus on a fully integrated operating model diversify the business base and drive operational efficiency. Diversifying the base – the business base will continue by growing the new permanent modular market and facilities management market. Where we believe that with our design engineering and manufacturing skill sets, there will be opportunities with a provincial and potential federal infrastructure spending programs, where a permanent modular manufacturing business, if you work in meeting some of the affordable housing needs, especially in the province of British Columbia. Throughout 2016, Horizon North will continue to develop its key locations close to LNG project sites and ensure we are well-positioned to participate should any of those projects to be sanctioned. However, this will be done using a measured approach for the timing of capital spending aligned with projects as they emerge. This year 2016 Horizon North celebrates its 10th anniversary. And with the right platform, people and capital structure, we will pursue our mission to provide superior, safe, fully integrated, turnkey accommodations, and related ancillary infrastructure in Canada and Alaska. As getting these strategies will be key to weathering the downturn and positioning Horizon North for the eventual recovery. That is the end of our prepared comments. So I’ll turn the call back over to operator, Chris, for the Q&A section. Chris?
Operator: [Operator Instructions] Your first question comes from the line of Greg Colman from National Bank Financial. Your line is open.
Greg Colman: Hey, all, thanks for taking my questions. Just a couple of quick ones here. Rod, I think at the end you mentioned cost versus quality, you were saying that further cost cuts or price cuts I suppose would be terrific quality or safety of your operations. I’m going to the assumption that pricing has continued to be under pressure in your vertical. Have you turned down any work opportunities that were prices below what you sort of deemed acceptable?
Rod Graham: We have had long conversations about the rate per term, whenever that type of proposition comes at us. There’s more of a – an expectation that additional questions or asks will be coming at us Greg. We have not had to go through that, where we believe that we sacrificed quality, care, and especially safety, but again that’s a core value of our business. We were not going to sacrifice safety to move our business forward.
Greg Colman: Got it. So at the moment no, given where prices were up to now, but kind of drawn a line in the sand, this is our level?
Rod Graham: That’s correct, Greg.
Greg Colman: Got it, okay. Operating camps versus construction camps for the oil sands, can you remind us, again, I think I cut a bit of it at the beginning there that you are moving into that vertical. Can you remind us, again, the split right now your camps, which are sort of operations of oil sands versus construction? And then further, I mean, at the risk of asking to do some projections here, what do you think, it looks like a year from now?
Rod Graham: It’s a good question Greg. Historically, that mix of OpEx versus CapEx has been kind of one-thirds OpEx, two-thirds CapEx. We’re certainly been trying to push that more towards the OpEx spend. Some of the hospitality and catering offerings that we’ve been signing up, including that contract that Rod mentioned are more towards that. I would suspect as we move forward that mix will change. It will be more OpEx focused versus CapEx focused, and it’s really two pieces. One is that the expansion and capital expansion projects, just there’s not as much of a pipeline for that as you can well imagine. So there’s going to be more OpEx work versus CapEx work going forward, and we are going to continue to push into that. So kind of a longwinded way of talking to your question, but hopefully, we got your answer.
Greg Colman: I think so. So on the OpEx side you are seeing, I mean, in this market, there’s not a lot of demand ripping. But you are forecasting there to be an increase push for operating beds and obviously a decreased requirement for construction camps?
Rod Graham: Yes, what we see is an opportunity, Greg, is kind of camps that we would have put into kind of Scott’s measure of construction, or capital moving and moving and morphing into operating as the construction phase rolls off and the operating phase commences. One of the things that we’ve always been very positive about has been kind of the size of our camps to fit their profile what I characterized an operators lodge the ones we operate it have not kind of been outside that band.
Greg Colman: What’s the – could you give us an idea of what the ratio is as to how many construction beds turn into operating bed, as it starts four down to one or eight down to one?
Rod Graham: Yes, it’s probably in, I would call it at the ballpark, Greg, I’ll call it the three to one or four to one in that range. It very much depends on the project, but 500 person in the construction camp over a three to four-year period may morph into something that looks likes a 100% to 150% operations facility.
Greg Colman: Got it. And then just one last one from me. On the dividend, see the cut that you did in the second 50% there, given the uncertainty we’re in, I’m looking at competitor of yours whether public or private who are in a very stressed financial situations you guys are in a much better position with your rents very likely generate some pretty good positive cash flow that’s charging you, but why keep any material dividend at all. We’ve seen other areas of energy services bring it down to a token level of single-digit millions total cost. So what was the logic behind keeping it at that $10 million level?
Rod Graham: We believe the profile of our cash flow is sustainable, Greg, and the logic for bringing the dividend in line with the reconciliation that Scott kind of talked his way through hits the profile. There were other things that we’re looking at with any free cash flow that will be between the lines on that. But we believe that there’s still desire to pay our investors to wait for recovery.
Greg Colman: All right. Well, that’s it from me. Thanks a lot, gentlemen.
Rod Graham: Thanks, Greg.
Operator: [Operator Instructions] Your next question comes from the line of Mark Taylor from Cormark Securities. Your line is open.
Mark Taylor: Good morning, gentlemen. Just quick question with regard to the $8 million charge on the year and $3 million charge on the quarter. Just wondering how that breaks out between OpEx, G&A and doubtful accounts?
Scott Matson: Yes. So maybe if I talk maybe just first on the quarter piece.
Mark Taylor: Sure.
Scott Matson: So out of that three, there would be a chunk of that the allowance for doubtful account piece would have hit our G&A line. I mean, you can kind of get a rough order of magnitude, if you work through the change in our FD over the year, probably – I’d probably leave it there. And on the year basis, the allowance for doubtful accounts and probably about 400 or 500 of severance costs would have hit G&A, so not a tremendous amount hit G&A most of it hit operating.
Mark Taylor: Okay, very good. That’s all I have. Thanks very much.
Scott Matson: Thank you. You bet.
Operator: There are no further questions in the queue.
Rod Graham: Excellent, Chris. Thank you very much, and thanks to all that listening today’s call. We look forward to updating people with our Q1 2016 in early May of this year. Thank you.
Operator: This concludes today’s conference call. You may now disconnect.